Operator: Welcome to the Wynn Resorts Third Quarter 2014 Earnings Call. I’ll now turn the conference over to Mr. Lewis Fanger, Vice President at Wynn Resorts, please go ahead.
Lewis Fanger: Good afternoon everyone. Welcome to the Wynn Resorts results third quarter 2014 earnings call. Joining the call on behalf of the company today are Steve Wynn, Matt Maddox, John Strump, Stephen Cootey, Maurice Wooden and Scott Peterson here in Las Vegas as well as Gamal Aziz, Ian Coughlan, Frederic Luvisutto, Linda Chen, Robert Gansmo, Frank Cassella dialing in from Wynn Macau and with that said let me turn it over to Matt.
Matt Maddox: Thanks everyone. Before we get started I just need to remind everybody that we will be making forward-looking statements on this call and those statements may or may not come true. With that I am going to turn it over to Mr. Wynn.
Steve Wynn: Generally speaking we were happy with the third quarter basically with the last quarter we made up in the slot machines and the general casino in Macau in mass what we – what we lost in VIP and so it seems to me as we look at October that we are definitely you know you got to love Macau we do in this company and we have great, great confidence and gratitude to be involved with the place. But it's always been government sensitive and turmoil in Hong Kong the smoking, the new regulations of smoking, the turmoil in Hong Kong lately in the month of October and of course the policy of the central government in being very, very aggressive about what appeared to be misconduct in corruption of the government has put a lot of the wealthy businessmen in the fox holes. Everybody is being very conservative at this point over there. I think taking the cue from presidency who is a very conservative man and it's had an impact on Macau in October. We have all noticed it and I don't know whether it's a squall or we are in the rainy season how long will it last but we are still very, very bullish on Macau. And as usual in the past when people used to ask us when are you going to get approval to start construction, when will you get your land concession. Things happen in China at their own pace and in their own time and for those of us who are lucky enough to be in business there you have to sit there and go along with the program and adjust to it as best as you can as that's what we do and as far as construction goes, Gamal is on the call if anybody wants to ask him about it but we are on target, we are on budget, we are on time. And Wynn palace is proceeding. We think that it's going to be a very wonderful addition to the market in terms of attracting people to Macau. Like as in the case of our competitors everything that's being built lately is even better than what was built - -what has been built before. The community’s social profile is being lifted. The quality of the products that are being offered in terms of hospitality, non-gaming, food, beverage, entertainment and meeting in conventions all the rest get better and better as that town takes advantage of its competitive superiority. With regard to Las Vegas, we were very happy with this quarter. It's a continuation of what we have seen in the past. All of our metrics have improved for the previous – for the running 12 months, I think our EBITDA was $520 million and if we can hold on during the fourth quarter we ought to be able to get to the five I hope in the calendar year this year. That's pretty much my comments about the status of our business. We did increase if you have noticed, we have increased our regular dividend effective immediately to about 50 a quarter. We want to stay very conservative as you know we have tremendous focus on our balance sheet and we have made our special dividend a dollar and in elected instead to increase the regular dividend by another dollar a year. And finally in Boston, just finished the casino designs the more meticulous and more detailed aspects. We intend to present a product in Massachusetts that is never been seen before in any city or any country including in our own buildings. We have taken an approach to Boston that is dramatically different than any casinos presentation that has been seen in our industry historically. I don't think in my 40 odd years I have been so excited about the project as we are about Boston. Hopefully the election, a week from tonight will confirm that the legislation stands and the voters of Massachusetts will vote no on questions on three. I had an unusual experience of talking to former Congressmen Barney Frank today and congratulating him on his op-ed piece in the Boston Globe in which he explained that people should be allowed to spend money as they see fit. And with that we will take questions.
Operator: [Operator instructions] Our first question comes from the line of Felicia Hendrix with Barclays Capital.
Felicia Hendrix - Barclays Capital: Steve as you stated in your prepared remarks, you mentioned about you are talking about Macau and how it's interesting because there is a political influence there. When you are talking about how some of the VIPs were lying low in the quarter. Given your view of how things were perhaps stabilizing July when you talked to us, last was that – what's surprised you most about the market or were there other things that surprised you in the quarter?
Steve Wynn: Well it's interesting to see the business community respond the temple of the central government. The businessmen that we talk to in Macau are very sensitive to the mood of the central government. And I guess, I don't know how to say any differently than that I compound that with the disturbances in Hong Kong which is certainly put the central government to the test on one of its most basic perks or prerogative in the modern world with the special administrative region of Hong Kong and that as you know who is going to nominate the candidates or what is the nominating process for candidates for chief executive officer, these are very, very interesting issues and as you undoubtedly observe on the media, there is strong feelings in the community and my guess is that at some point, the matter will be resolved and everything will settle down. The business interruption in Hong Kong are disturbing to the business community and to the community in large in Hong Kong. And I am sure they are disturbing to the central government. It's hard to believe that both sides will remain attractable, but it is after all people for public of China and Hong Kong is part of it. So it would be interesting to watch the play out. The only thing I would share with you is the front row seat to the process. And hope that it plays out in an orderly fashion. We experienced in October a perfect storm. We had the lowest hold percentage for a number of weeks than we have ever experienced in China. When I say is a perfect storm, it's unusual – it's statistical normally to hold 0.9% or something like that in 2.7% or 2.9% gain but on the other hand we have held four on occasions. So -- both ways. Those things straighten themselves out. We don't pay really any attention to that adjusted our whole percentage of puts us in the market share by 10% again but in the 10% we suffer the same fate as the rest of the market when that experience decline. So I don't know surprise is the right word. Disappointment certainly is the right word.
Felicia Hendrix - Barclays Capital: I try not to use that word so I used surprise. You talked about holds on the VIP side it does look like you held a little bit high on the mass side as well as relative to the past few quarters where we really have been seeing the impact of increased purchases at the cage, how should we look at just since it not – somewhat of a new phenomenal seeing the hold seeing kind of the mid 40% I know -- change this quarter how should we think about a normalized cold for your mass segment.
Steve Wynn: Great question. I don't have any more clue than you do on this one. I think what you should do is pay attention to the wind. I mean at the end of the day, casino revenue before expenses is measured by how much is left. The purchases of these chips cage represents a moving target and I don't know how to explain it or to normalize it because I have watched it fluctuate as you have. Anyway I don't think it really matters very much really when we get right down to it, I don't think it really matters. It's the revenue. It's that Wynn figure that we are all focused on and that's the one that counts.
Felicia Hendrix - Barclays Capital: Okay. That's helpful and just finally again regarding the market and I will use the word disappointment, do you think any aspect of that is coming from the smoking ban?
Steve Wynn: No. We think I asked that question of my colleagues Ian is on the call and I think it would be great thing for him to address.
Unidentified Company Representative: Well we just had a couple of weeks to gauge us and a couple of weeks after golden weeks. So I don't think gets early days. There is no doubt going to be an effect but I think it's the least of our concerns in terms of revenue drop off. We are also still engaged with the different departments of the government in finalizing how our smoking areas and non-smoking areas are divided. It still is discussion that's going and the players have reacted very well to us. The smoking room that we have established in Macau has been very successful we are in the process of establishing an additional smoking room based on location. But overall I wouldn't say that that's had a huge effect on business. There has been some effect but it's been marginal.
Steve Wynn: Also I think that technology as we go forward is going to play a part in this. Right now the air and the Wynn casino before they stopped the smoking was better than the outside the Wynn casino in the street in terms of general public health and I think that within the casino, whether people are smoking or not in VIP rooms for example we are able with advanced air exchange methodology and technology to keep the employees free of any potential impact to secondary smoke. What is interesting in this conversation is that in conversations with the culinary union that ensures all of the people that work in these casinos will have smoking, there is no evidence whatsoever of any increase in emphysema, lung cancer or any other respiratory complication associated with working in a casino compared to the general public. So the threat represented that smoking in our buildings where we have very advanced air exchange technology maybe it's because everybody knows that the air is cleaner in middle of Las Vegas than anywhere else. I am sorry it's my dog barking in the back room. I beg your pardon. Anyway, the air exchange systems we use keep our casinos smoke free and although that hasn’t been particularly important to the government in their determinations as time goes back I am hoping that will get a very matured and sophisticated look at this problem keeping first and foremost the health of our employees as the principal consideration.
Felicia Hendrix - Barclays Capital: Thank you very much. 
Operator: Your next question comes from the line of Joe Greff with JP Morgan
Joe Greff - JP Morgan: Good afternoon everybody. You did a nice job outperforming the market in Macau on the NAV side. Steve or Ian maybe can you talk a little bit about what you are doing there and do you actually think maybe the clients in VIP are giving you sort of this indirect benefit in that it frees up some rooms give the capacity to go after the premium mass customer and then obviously when Las Vegas stands reported earnings last week, they talked about competition in the mass of the premium mass segment that led to their having some margin degradation on those segment. Can you talk about that on your side as well? Thank you.
Steve Wynn: First question is there an increase in the mass because of pressure on VIP. I think the answer to that is yes. Is there margin pressure in Macau? Yes. The competition is I have said in previous calls is extremely intense. And if anything inhibits market growth then of course you see this either a loss of market share or a loss of margin. One of those two things has to happen. And we got new facilities coming on in Macau in the next two years including ourselves. We have got capacity increases coming in January in the existing Macau hotel, very dramatic capacity increase. In terms of these Junker rooms we are building too gorgeous VIP areas. And that’s going to allow us to increase our mass a little bit again. So everybody is moving their floors. They are using their tables and their spaces intelligently, trying to protect their margins and to dedicate the table that are available to the most profitable usage. We are doing the same thing. But I am not surprised to hear that there is margin squeeze at the mass market. If we notice that too -- 
Unidentified Company Representative: In our mass market area our margins have been constant over the last three quarters. So give or take 100 basis points. They are just in our mass area, premium mass area. We have seen our margins stabilize. 
Steve Wynn: Which is no indication that will continue.
Joe Greff - JP Morgan: And when you look back at the three Q mass, was there anything seen interesting from a margin or expense perspective. Obviously 34.5% margin in the environment that are in Macau is a great result, is there anything that absent mass of mix changes that’s not a good level to look at going forward? 
Steve Wynn: Well Joe, our mass and slots made up were in the third quarter but everybody has seen the October results for the market are down over 20% so clearly there is going to be more margin pressure going forward.
Joe Greff - JP Morgan: And when you look at the October-to-date results how much mass market growth acceleration is there? That’s a question, a lot of us are wondering right now.
Steve Wynn: Robert Gansmo, (inaudible) I don't know what our hold is in mass. I mean what our revenue I guess we keep forget about the whole because of the chip issues. But I really hate to describe this quarter based upon three weeks. I am very tentative about answering that one Joe. I just think if I am too preemptive and premature that I give you the wrong lead and I know that you're asking the question for all the right reasons, but I wish I had an answer that I could lean on, and I'm not comfortable on the short strength not with all the other things are going on in Hong Kong and smoking I am confused at the moment, Joe. Joe, that answered that question. Joe, I am confused at the moment.
Joe Greff - JP Morgan: You are not alone. Thank you very much.
Unidentified Company Representative: And the Joe the other point that is obvious October last year was up 25% or 30% in every segment. So the comp is also very difficult.
Steve Wynn: And we are although rise in Hong Kong, I mean really the government says no more smoking here and there. And so many of our customers and smokers that it is just too many moving parts for an intelligent response I think.
Joe Greff - JP Morgan: I think you are in the same spot with your clientele as we are with ourselves.
Operator: Your next question comes from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank: Just to turn over to Cotai a little bit and the development there and obviously, it looks like maybe there's an incremental $100 million of spend associated with it. And I didn't see a lot of color on Phase 2. Could you guys kind of walk through how you are thinking about that project today, maybe with the increasing $100 million is, as well as how you are thinking about Phase 2?
Steve Wynn: Well certain changes had to be made in order to accommodate phase 2. We didn't want to get ahead of ourselves too far with regard to that until the government had responded and given us the appropriate kind of permission but some of it has crept into our Wynn Palace budget. But basically, our budgets are within one percent of what we had expected and I am very happy with the planning and that went into that job and the attention that is being given to Kamal and his team Mike Harvey and everybody in supervising that construction. The government has been cooperating and it's moving very nicely with the latent construction folks who built our other buildings. If I am not being responsive maybe you can redirect your question.
Carlo Santarelli - Deutsche Bank: No, I think that was it. And more or less, I am assuming then, based on your answer, maybe that $100 million is for some piling and foundation work that would be associated with Phase 2?
Steve Wynn: Carlos, it’s a mathematic. So half of it was actually forecasted pre-opening expense, which we report and other companies do not because of the incremental payroll and other human resource programs that has been going on. And it’s not 100 million is just rounding, so it’s much less than a $100 million. 
Unidentified Company Representative: I think it’s sixty.
Steve Wynn: That's right, it’s 56 million. The second thing is we protected all of our contingency in our construction budget, so we were going to be able to utilize that going forward if there any other issues and current GMP is at 85% bought out or let. So we are feeling good on the construction site.
Carlo Santarelli - Deutsche Bank: Great. That's helpful. And then, if I could, just a follow-up. Obviously, Steve as you noted earlier and I think we have talked about on prior calls that the mass hold percentage at 51% in Macau today. Other than reading into it that your premium mass business obviously is becoming a much bigger component of your overall mass, is there anything that you could say around that premium mass business that you guys have started doing differently to grow that business? It appears as though you are meaningfully bucking the trend of the market, especially in the premium mass.
Steve Wynn: Here is one of the things that we did. I guess in business and life you have to lucky even better than smart. We made a decision in the building of the palace which was a very important decision. If you're having a lake of 8 acres like Bellagio in front of the hotel, with all kinds of new, advanced water attractions including a Doppelmayr gondola that goes through fountains and into the hotel, you say okay what are we going to do with the lakeside property, which rings a 180 degrees of this link you to do stores, are you going to lobbies, restaurants, or what? When we made a decision, Mr. D. Butler my design partner and I, several years ago and I mean we inhaled and said okay, we're going to put all of our premium VIP business of every description on the water, every one of which every chamber every room from one end of the building to the other will be on the water, looking at the fountains and water show. And every one of them will have bathrooms, food and smoking balconies and our entire hotel is got balconies all around the lake on all of the VIP and mass rooms. This is going to turn out to be a windfall kind of event because folks are going to be able gamble and step outside 8 or 10 feet, look at the water and if they've got a yen and to continue to smoke, they will be able to do so outside. We were very advantaged by the basic plan of the palace, which puts all of the important gambling with terraces all of it, it turns out to be quite fortuitous and I wish I could take credit for having thought of it in advance but it just worked out right. We didn't expect that the government would active as aggressively and as dynamically as they have on the smoking issue but having done so we find ourselves in position that we've accommodated in our new hotel.
Carlo Santarelli - Deutsche Bank: Got it, thank you.
Operator: Your next question comes from Shaun Kelley with BofA Merrill Lynch.
Shaun Kelley - BofA Merrill Lynch: Good afternoon. We've spent a lot of time talking about the mass business, so I figured out, just switch gears and just ask about VIP. Could you just give us your kind of latest thoughts on what you are hearing from some of your junket partners. There is obviously always discussion in the market about this, but just maybe an update on credit settlement, and your kind of general view on maybe when some of those higher-end VIPs start to take a little bit more risk and step back into the market?
Steve Wynn: Don’t know. What we are giving them is sympathy, what can we say to them? I mean they have to take the business the way they find it and assess their own risk. Our policy was rather – we got short string on all this stuff and they respected that maybe some of the competitors of length of the string, we haven't had to do that.
Shaun Kelley - BofA Merrill Lynch: Maybe I can ask you this way. Just any sense, obviously, I think everyone -- both the junkets, the casinos, lending -- everyone has probably taken a step back, and to wait and see -- do you think things are getting worse at this moment, Steve? Or do you think it is fairly like things are starting to settle down and now everybody is just wait and see mode.
Steve Wynn: That's an easy question. It’s worse in October than it was before October. So if you're asking what is the nadir of our experience, it is current.
Shaun Kelley - BofA Merrill Lynch: Okay. That is very helpful. And then the other question I have was just if you could give us a quick kind of preview, your latest thoughts on the West Casino zone renovation? Because you did mention, I think, in some of your remarks that you got some interesting features there that might help out when that opens for -- I believe in January.
Steve Wynn: It is going to open in January and to we are getting ready to install wall covering and stuff like that, the walls are up and is on schedule. It was a very, very complicated construction job because we had the replumb and do things in the floor and other things like that it's a very dynamic. It’s fanciest high-limit gambling place that we could use in our experience for any customer whether it's our own customer or a junket operator and by being able to have these, I being able to have this whole fabulous end for them. It frees up some of the rest of the place for us to use in other ways. It also allowed us in terms of the general flow of the casino to compress to offer the, to put these junket and these high limit gambling areas right next to MGM and have access from the outside for pedestrians directly into the space without having to navigate the whole floor of the building and all those buildings rather large that it's big convenience issue, and it also allowed us to compress and to improve the general flow of Wynn Macau, so that it would support and enhance the usage of the mass tables. The whole project was well considered, long considered before the team in Macau before Ian and Linda and everybody finally signed off on it, we had many iterations to try and catch up with all of the things we wish we had done when we built the place in the first place. Every one of these resorts, no matter how carefully considered, take on a life of their own after they open and then you find yourself saying wow I didn't know that the people would go there instead of here, I didn't know that would work the way it's working, and then you say well how can we adjust some of that is really hard to get to. You wished it, you could make a change that is clearly beneficial, but it involves interruption of business and some basic reconfiguration. Well, we decided to take that step. After several years of operation in view of the fact that we’re going to compete with ourselves at Wynn palace. We want to make sure that Wynn Loss Vegas held as position as a premier stop for all of the top players and the things that we've done in the past eighteen months to reconfigure the wind casino. I think we all believe, at least, do exactly that. And so we can't wait to see the impact which will show up in the first quarter. I am hoping we will be able to talk about that with you in April.
Shaun Kelley - BofA Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of Harry Curtis with Nomura.
Harry Curtis - Nomura: Question going back to the Palace, on the last call Steve, you talked about taking delivery and I think it was December of ’15 when you commented it's still on time. Do you still expect December 2015 delivery?
Steve Wynn: Yes we begin to get the spaces turned over to us for stocking the kitchens and cleaning, preparing all the rooms, housekeeping is on the job and then we turned the place in late December and in January into campus and it is our practice to first take the staff and give them the building for themselves for a couple of weeks to practice in which we bring all the systems, we go to all of our backups. We have all of our employees stay in the rooms. We test everything over and over again because we have a very strong opinion that you only have one chance at a grand opening to make that that wonderful initial impression and considering they were going against such wonderful competition at Galaxy and City of Dreams and the Sands Company, with all the products that Sheldon and at Packard and Lawrence Ho and Francis Louis have done. We want to make sure that when we open the Palace that everybody is impressed. So we are going to have rehearsals and that campus that I referred to the training facility, we hopeful take place in January when we had a chance to move in and get the drovers filled with pencils and papers in linen put away, the carpets vacuumed, the freezer boxes and walk-in coolers stocked and we start cooking in the kitchen's and all the chefs tell us that we did a lousy job designing the kitchens, as they always do. We also have adopted a policy of entertainment. We know that in Macau people gamble and shop and eat and what we have said was in that case, let's take the entertainment aspect of the hotel into the restaurants where they surely be really enjoyed. So we have done things we've never done before in restaurants, one particular restaurant is a continuous series of entertainment vignettes, walls, open, and it is a stage and at some very fanciful and unique things take place. In other restaurants other things of that sort, every one of our restaurants has entertainment quotient to it. We have decentralized entertainment in each of the restaurants and of course in the front yard and in other places in the hotel, the lobbies, the entrances, they are all animated, animated expensive entertainment attractions. We are spending hundreds of millions of dollars on entertainment in this facility so that literally the hotel itself is the show.
Harry Curtis – Nomura: Steve, just as a quick follow-up, in the last quarter, you made a prediction on the number of tables that you thought you got – you would be getting and there is a lot of debate around that and it is probably fairly opaque, but can you give us an update on your level of confidence that you can still get over 550 tables?
Steve Wynn: Well, the only reason I said that is because I discussed it with the government and I was giving – I was given permission for it. But again in China the final proof is in the – in what happens when you open, and the government has still control of those sorts of things. I don’t have any reason to believe that we would be allowed to build the building that was very carefully reviewed and examined by the government, and then the surprise, I suppose it is possible. But I don’t have any history in Macau that would suggest that that is probable. I know that our competitors all have and offer freely their opinion of what is going to happen to us. But competitors have always done that. I remember that two weeks before we opened Mirage, an unnamed competitor, but as Forbes magazine said to me, an unnamed insider – gaming insiders have said that you can’t make it that your overhead is too high and that the Mirage is going to go broke. Our competitors always seem to have a very, very confident view of what is going to happen to us. I don’t much pay attention to that. I do pay attention to what the government says to us and of course I pay attention to our own history there, and the government has been very steadfast in the way they have handled their relationships with us. They told us what they expect. They have taken their time to approve what we have suggested we want to build. They have examined our programs carefully, made suggestions and when appropriate they have given us the green light to go ahead and build these places. That is the frame of mind I am in. maybe I am a Pollyanna. But I think that I am taking new and practical approach. 
Harry Curtis – Nomura: That does it for me, Steve. Thanks.
Steve Wynn: Sure.
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley.
Thomas Allen – Morgan Stanley: Hi, on Macau mass-market margins, you talked about the risk to [Indiscernible] revenue flows. I think we all know about in terms of labor and operating cost inflation, but in terms of promotional spending on the VIP side, you have always been able to keep your commission steady when we have seen increases in market, do you think you are into the same on the mass market side [Indiscernible] of premium mass customers?
Steve Wynn: It is that at the end of the day the critical decision of where to gamble is made by the customer. Local operators and hosts and marketing people whatever their particular titles maybe, they service those customers. So when you – when you are in our position, when you are in our side of this discussion, it is the product that you put out that determines the strength of your competitive posture. The reason that the observation you made is accurate is because the product that we produced was always a little bit better and the service a little bit better, at least in the eyes of the customers than what they could find elsewhere. When we took up the idea of building a hotel in Cotai we recognized the quality of the competition, and that sharpened our senses and made us even more self-critical than we have ever been before. So that we came to the conclusion that we had to re-examine every part of the hotel and everything that we were going to say to the clientele in terms of service, food and beverage, entertainment and of course, user-friendliness in the gaming areas of the building. With the firm belief based upon our own history and in the end that would give us whatever leverage was available under the circumstances. If you were to change places with us I’m sure that you would come to the same conclusion. Now every time that you operate on any premise, reality sets in and the facts expose themselves over a period of time. I have told you how careful we were in Wynn Palace and the great respect we had for our neighbors, and we acted accordingly in conceiving of the hotel. It is the best job we have done I think in my career. I am operating with a group of the most talented, most experienced people that have ever worked in the gaming industry from Gamal Aziz, Linda Chen, and the staff of people that work for them in marketing, to Ian Coughlan’s experience in the hospitality industry and the experience he has gained over the years as the gaming president, all of this has come to bear, and everyone of these people have really focused hard on everything that we are doing. In the long run, it will be the human resources of the leadership of this company and the staff that determine the outcome. And I go to bed every night with the firm conviction of that truth and no other, and then I leave the guesswork to other people. I don’t know if I’m being helpful to you. All I can do is share with you the mentality of our management, and for investors, that is of course the end of the conversation, the only thing that matters.
Thomas Allen – Morgan Stanley : That is helpful. So just I mean slightly shorter term though if we do see some kind of emotional spending more in the near term, do you think that you have to compete there, or do you think the quality of your product before Palace opens is strong enough that you really wouldn’t have to get into that game?
Steve Wynn: You can do all the things that I just mentioned, but at the end of the day we have to deal with the situation as we find it. And each company tends to give away in terms of promotional allowances to its customers about as much as they can without being self destructive. That number is subject to change from time to time. Incidentally it is subject to change down as well as up. Sometimes people overspend in promotional allowances and it becomes an exercise in futility, in which case you back off or the executives get changed and somebody new comes in to run the place. One of the two things happens. If you find yourself in an advantageous position and you think that by increasing promotional allowances you can have more money to the bottom line even if it means the margin percentage is less, well then you go for that. I know that my friend, Sheldon Adelson, has that kind of mentality with his business. And so margin percentage matters, but what about the money? At the end of the day that is the only thing that matters is if you will excuse the cliché at the end of the day everybody says that. But in the final analysis it is the money, isn’t it, and you’ve got to take the market month by month I think.
Thomas Allen – Morgan Stanley : Thank you, and then just two quick follow-ups on Vegas, one, you reported really strong RevPAR growth of around – up 8% this quarter, can you just talk about forward bookings a little bit, there is obviously the really hard comp and 1Q with ConAg do things look like they are just going to kind of build the strength going from strength to strength or could things slow a little bit?
Steve Wynn: Well, last month I raised the rates by 18% of our hotels in Las Vegas through online booking agents and to everybody else, and we benefited from it. That is why our RevPAR is up. That is one of the fun things you get to do and you got a better mousetrap. I think it’s probably a poor choice of words. These places are hardly mousetraps at $5 billion -- costs.
Thomas Allen – Morgan Stanley : And Steve the Vegas property EBITDA peaked last cycle around $420 million, you have 75% more rooms today, could you see that kind of increase in terms of the EBITDA that does kind of this cycle, then I’m done, I promise?
Steve Wynn: We have passed $420 million already. Pardon me?
Frank Cassella: 486 last year.
Steve Wynn: We did 486 last year, and we are – we have got 520 for the last – for the recent 12 months, 526, I think and I’m hoping that the fourth quarter will get us over 500 for this calendar year. It’ll be – it’ll be a countdown sort of thing in December because all the money comes at the end. But it seems okay, but again we are an international place, and we get a lot of Chinese and Latin business, and things going on in the world affect us a lot in our place. But we will have the most profitable hotel in Las Vegas without a doubt. There is no question about that. Conde Nast Traveler made us the leading hotel last week in Las Vegas, again based upon visitor voting, which was satisfying to us to get that distinction, and so I’m happy about that. You take care of your building, you keep working with your employees to make them more effective, more self-conscious, more aware of their personal responsibility in the building. In the long run, it is a slow – it is the hare and the turtle. It really is a marathon not a sprint and we are enjoying the benefits of our – of being steadfast here.
Thomas Allen – Morgan Stanley : Great. Thank you.
Steve Wynn: Sure.
Operator: And your last question comes from the line of Robin Farley with UBS.
Robin Farley - UBS: Great, thanks. two questions, one is, can you talk a little bit about your own experience with collections to the degree where you do have direct VIP business, I know others have asked about junket collections, so I wonder if you could talk a little bit about your experience with that on the direct VIP, and then unrelated to Macau can you just share any thoughts on your interest in Japan, potentially if Japan doesn’t allow resorts to be opened to locals, how that would affect your interest, thanks?
Steve Wynn: I will take the last part and I will let Matt do the first part Robin. I don’t know what is going to happen in Japan. I think speculating on Japan at this moment is really, really from our point of view not productive. The situation there is undefined by any measure of close scrutiny, undefined. I do feel that any interest in broadening the ability for people to gamble in Japan is based upon employment, increasing tourism and that sort of thing, and I think that the Japanese government is well enough informed. They can understand that a foreigner owner – a foreigners-only casino would not get that job done for them. I am pretty confident that they would come to that conclusion. And I think they want to keep the money at home if they do this at all. So I don’t think it is going to turn out that way. If it turns out at all, I think probably the more important question is have they got to do it at all Robin, and I don’t think – and I think that is undefined at the moment. With regard to our collections, I will turn that over to Matthew.
Matt Maddox: So Robin in the third quarter in our direct program turnover was relatively flat with last year. The decline in VIP was largely in the junket area, and our collections in our individual program have been very steady. We haven’t seen a slowdown in that because we remain cautious in who we issue the credit to and we know our customers well.
Robin Farley - UBS: Okay, great. Thank you.
Steve Wynn: Are there any other questions?
Operator: There are no further questions today. Are there any closing remarks?
Steve Wynn: Matt? Gamal do you have any – Gamal you were quiet on this call, do you have any comments?
Gamal Aziz: Just that we are on track Steve and we are feeling pretty good and very confident about the opening date, about the interest in employment for our property. We are getting early signs of tremendous talents wanting to be a part of Wynn Palace in the future, so we feel pretty good and very confident about Wynn Palace at this point.
Steve Wynn: Linda do you want to make – do you want to make any – if you want to make any projections or I think everybody is so curious about the junket operators, you are the closest one in the family to all of that. You want to go out on a limb and make any predictions or you want to stay safe?
Linda Chen: I don’t want to make any predictions, but I think it is no secret to anyone that the junkets are being cautious and they are being conservative. So no different than that the retail sensitivity for not spending lavishly during a market time like this. So – 
Steve Wynn: Yes, you don’t – yes.
Linda Chen: Go ahead.
Steve Wynn: Louis Vuitton, Christian Dior, and folks like that, and Cartier and Chanel are noticing all through China the same thing that we’re talking about today.
Linda Chen: Yes, but I think they are being very responsive – being conservative and they are also taking this slow time to, if you may, reorganize. So the mode of the market was to expand and expand are limited. Now they are actually consolidating. So no different than any other major industry that when they face a financial difference in thinking, whatever, so, now the time is for them to be relooking at their future, which I actually think it is a very positive outlook if they are being responsible about it.
Steve Wynn: Well, they are the best thoughts of all of us to the folks on the call, our competitors of course, are listening to all of them I say hi, and wish them well, and we will speak to you again in three months or so. Bye-bye everybody.